Operator: Greetings, ladies and gentlemen and welcome to the Dynamic Materials’ 2013 Fourth Quarter Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) It is now my pleasure to introduce your host, Mr. Geoff High of Pfeiffer High Investor Relations. Thank you, sir. You may begin.
Geoff High - Investor Relations, Pfeiffer High: Thank you, Jen. Good afternoon, everyone and thank you all for your patience on the issuance of today’s news release that came out a little later than normal, but hopefully you have all had a chance to review it. Presenting on behalf of the company will be President and CEO, Kevin Longe; and Senior Vice President and Chief Financial Officer, Rick Santa. I’d like to remind everyone that matters discussed during this call may include forward-looking statements that are based on management’s estimates, projections, and assumptions as of today’s date and are subject to risks and uncertainties that are disclosed in DMC’s filings with the Securities and Exchange Commission. The company’s business is subject to certain risks that could cause actual results to differ materially from those anticipated in its forward-looking statements. DMC assumes no obligation to update forward-looking statements that become untrue because of subsequent events. A webcast replay of today’s call will be available at dynamicmaterials.com after the call. In addition, a telephone replay will be made available beginning approximately two hours after the conclusion of the call. Details for listening to today’s call and replay of the webcast are available in today’s news release. And so with that, I will now turn the call over to Kevin.
Kevin Longe - President and Chief Executive Officer: Thanks, Geoff and thanks to all of you who have dialed in for today’s call. The fourth quarter represented the conclusion of the very active year at DMC. Unfortunately, our Q4 financial results came in below forecast. This was largely due to an unexpected slowdown in orders from DynaEnergetics’ U.S. and Canadian customers. Several of these businesses curtailed operations at the end of the year, while others chose to work off inventories. These circumstances resulted in sales at DynaEnergetics that were roughly $2.3 million below our internal forecast. The revenue shortfall was exacerbated by decline in consolidated gross margins, which were impacted by a lot favorable product mix at DynaEnergetics and NobelClad versus the fourth quarter last year. Primarily, we recorded $756,000 impairment charge related to an IT project at DynaEnergetics’ operations in Russia and Kazakhstan. This charge resulted from our ongoing companywide effort to evaluate and enhance our internal systems, operations and infrastructure. Much of our attention during 2013 was focused on positioning DynaEnergetics to thrive in very active global energy market. We launched operations at our new shaped charge facility in Blum, Texas and made substantial progress on the build out of another facility in Tyumen, Russia. We also strengthened DynaEnergetics’ leadership team, improved supply chain management and significantly enhanced our focus on customer interaction and responsiveness. While our efforts are not complete, DynaEnergetics enters 2014 a much stronger business than it was at the beginning of last year. During this year’s first quarter, many of the perforating orders expected late last year finally came in. And this has led to a strong rebound in North American sales at DynaEnergetics. Additionally, we received a $6.3 million purchase commitment from one of DynaEnergetics’ largest U.S. customers and involve detonators associated with the new DynaSelect system. This commitment, which will be delivered throughout the year, illustrates the growing demand for the DynaSelect’s product offering, which was introduced just over a year ago. Well completions are a complex process that can involve large crews performing a broad spectrum of dangerous activities, including perforating and hydraulic fracturing. Historically, operators would halt operations around the wellhead during the perforating process to ensure that straight currents would not trigger accidental detonation because the DynaSelect system is RF and straight current phase, pumpdown and fracturing operations can continue uninterrupted during the perforating process. The DynaSelect system also integrates the switch and the detonator which reduces set-up times and improves efficiencies. Finally this system utilizes new software that enables to the firing of up to 20 perforating guns in a single run. At our AMK Technical Services business, some of the most promising growth opportunities are in the oil and gas industry, where customers are using our welding and machining services on large and complex well meters. AMK determine that this business will function more effectively as a component of our DynaEnergetics segment. Beginning in this first year’s quarter AMK will be folded into DynaEnergetics and we’re pleased to report it as a separate segment. However AMK will retain its strong brand name and will continue to serve customers in the aerospace and ground-power industries. It will also perform various welding and machining services on select DynaEnergetics products. In NobelClad we’re seeing continued steady coating activity especially from the oil and gas and chemical endmarkets. However actual bookings volume is not correlated to the level of RFQs we’re receiving. As it has been the case for several quarters it is very challenging to anticipate when customers will release the projects they’re planning. Regardless of the uncertainty on timing several large industrial projects are moving forward and we’re optimistic we’ll see a meaningful pickup in orders later this year. Meantime we’re maintaining a research and development efforts on new explosion welding applications and are actively marketing our cladding technologies in new endmarkets. As many of you are aware DMC has a history of acquiring and integrating technical product and process businesses. As we focus on continuous improvement and organic growth at DynaEnergetics and NobelClad, we also plan to explore additional acquisition opportunities for DMC that could expand our presence in the global infrastructure and energy sectors. Rick Santa who has been on DMC’s executive team since 1996 and who has been instrumental in the acquisition of several different businesses will soon transition to a new role of dedicated primarily to M&A and business expansion opportunities. Rick and I will work closely with one other on this effort and be supportive by a dedicated business strategist and financial analyst. Our long range objective is to establish business developed as a core competency of DMC contributing to our future growth. Rick and I are both very excited about moving forward together on this endeavor. As Rick transitioned into this new role he will also work with me and our executives search for to hire new Chief Financial Officer. And so with that I’ll turn the call over to Rick for a review of our fourth quarter and full year financial results. Rick.
Rick Santa - Senior Vice President and Chief Financial Officer: Thanks, Kevin, and good afternoon everyone. As you’ve just heard business development represents a key component of our global growth strategy and I’m very excited about the opportunity and focus on this important activity going forward. With respect to our financial results we reported fourth quarter sales of $51.2 million which was a 3% decline versus our 2012 fourth quarter performance. The results moved slightly the low end of our forecast let’s call it for sales of 2% above to 2% below last year’s fourth quarter revenue. As Kevin noted the shortfall is due to a drop-off in sales at DynaEnergetics during the last half of the quarter. Fourth quarter gross margin was 26% down from 31% in the prior year’s fourth quarter. Our margins were impacted by a less favorable product mix at both DynaEnergetics and NobelClad. Operating income declined $1.3 million from $4.5 million in the 2012 fourth quarter. And this was a lower sales in gross margin, operating income was negatively impacted by the $756,000 impairment charge Kevin referenced earlier. Fourth quarter net income was $278,000 or $0.02 per diluted share versus $2.9 million or $0.21 per diluted share in the 2012 fourth quarter. Adjusted EBITDA was $5.7 million versus $9.1 million a year ago. Looking at the full fiscal year sales increased 4% to $209.6 million. Gross margins were 28% versus 30% in 2012 and the decline was largely due to the fourth quarter product mix I mentioned earlier. Income from operations was $11.7 million versus $17.4 million in 2012. Operating income would have been flat year-over-year, where not for $3 million in management retirement expenses, $1.8 million in inventory reserve adjustments and the $756,000 impairment charge. Full year net income was $7.5 million or $0.54 per diluted share versus $11.7 million or $0.87 per diluted share in 2012. Full year adjusted EBITDA was $27.9 million versus $33.6 million in 2012. Operating cash flow during 2013 increased 50% to $33 million. The improvement was largely due to a $15.3 million positive change in net working capital, which was announced as the $4.1 million decrease in net income. We delivered full year free cash flow of $15.4 million versus $4.9 million in 2012. This improvement takes into account the $17.6 million we invested in capital expenditures during 2013. Turning to the balance sheet, at December 31, 2013, we had cash and cash equivalents of $10.6 million, working capital of $67.6 million and the current ratio of 3.2 to 1. We also had current liabilities of $31.2 million and total liabilities of $67.8 million. We closed the year with net debt of $18.7 million, which was down 39% versus the end of 2012. Over the same period stockholders’ equity increased 6% to $172.8 million. Looking at guidance, we are currently forecasting that 2014 sales will be flat to up 4% versus the $209.6 million we reported in 2013. While we expect another year of top line growth at DynaEnergetics and are optimistic we will see a pickup in order volume at NobelClad relatively lower backlog in NobelClad on January 1 coupled with uncertainty about the timing of perspective clad orders as well as the forecast limited sales growth versus last year. Of course, we will update this forecast in the coming year if circumstances change. We are expecting a more favorable consolidated order mix during 2014 and therefore anticipate that gross margins will improve to 29% to 31% versus the 28% reported in 2013. Our blended effective tax rate for the full fiscal year is expected to be in the range of 29% to 30%. Turning to the first quarter, we expect sales will be in a range of 4% to 6% above the $46.3 million, we reported in the first quarter of 2013. Gross margin is expected to be in a range of 27% to 28%. SG&A expense should be approximately $9.8 million to $10 million and first quarter amortization expense should be approximately $1.6 million. Interest expense for the quarter is expected to be approximately $150,000. With that we are now ready to take any questions. Jen?
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Edward Marshall with Sidoti & Company. Please proceed with your question.
Edward Marshall - Sidoti & Company: Hi. Good evening.
Rick Santa: Hi Ed
Kevin Longe: Hi Ed
Edward Marshall - Sidoti & Company: How are you guys doing?
Rick Santa: Good and you?
Edward Marshall - Sidoti & Company: I am doing pretty well. So if I look at the Blum facility and I guess to that respect Siberia as well, can you kind of tell me where I know that some productions and shipments kind of out in the Blum facility already started, but what about Siberia and kind of just give us an update on those two facilities if you don’t mind?
Kevin Longe: Blum was in startup mode in the fourth quarter of 2013, but it has completed an expansion and they are close to reaching full production on a single per ship in this first quarter. The Tyumen, Siberia facility is actually – there is three parts to it. There is a management opus, there is carrier or gun manufacturing facility and then there is the shaped charge manufacturing facility. And the carrier and gun manufacturing facility is running and functional, so is the office and the shaped charge manufacturing facility on the campus is under construction and will be fully operational in this year’s third quarter.
Edward Marshall - Sidoti & Company: Okay. Do you think you are reaching full production on the first shift, are you building inventory or is that being sold through?
Kevin Longe: It’s been sold through.
Edward Marshall - Sidoti & Company: Okay. What was the effective tax rate in the quarter if you don’t mind?
Rick Santa: The effective tax rate was kind of strange in the quarter because of the low pre-tax number. I think it came out to 71% for the quarter.
Edward Marshall - Sidoti & Company: If I look at the charge in that quarter, is that the right number to use kind of back that charge out or?
Rick Santa: I am not sure if I follow.
Edward Marshall - Sidoti & Company: Well, the charge is $756 million asset write-down, I mean on a pro forma basis, I look at that as a one-time charge in nature, I am just curious as to what the tax rate on an after-tax basis I should be looking at in that number?
Rick Santa: Okay. The effective tax rate that we average for the full year was right around 28%.
Edward Marshall - Sidoti & Company: Okay.
Rick Santa: And then the guidance for 2014 is 29% to 30%.
Edward Marshall - Sidoti & Company: And when I look at the impairment charge, what line does that run through, was that SG&A or was that gross margin?
Rick Santa: It’s the SG&A expense.
Edward Marshall - Sidoti & Company: Yes, that’s right. Okay. And next is just the effect on the gross margin there on the quarter?
Kevin Longe: We had particularly on DynaEnergetics a heavy gun and carrier system and we were light on shaped charge cord detonators, which are our higher margin products. And plus we have the startup cost at the Blum facility that were being capitalized previously that are now hitting the income statement in the fourth quarter.
Edward Marshall - Sidoti & Company: Okay. And then a considerable ramp in the gross margin guidance throughout the year, just looking at the first quarter to the full year blended rate, what’s really driving that adjustment there?
Rick Santa: It was – yes, if you look at the gross margins by our business segments, we were down for the full year for our explosion welding. We were down from 27% in 2012 to 25.4% in 2013. For the full year, oil field products slipped only slightly to 34% in 2013 from 34.8% in 2012 and then as part of AMK was 15.9% for the full year 2013 versus 22.1% in 2012, but the bigger variance was in the quarter, if you look at the NobelClad business, the margin is down – gross margin is down from 26.3% in 2012 to 24% in 2013 that product mix. And then for oil field products, the margins fell from 37.7% in 2012 to 29.7% in 2013. So if you take that 8 percentage points against roughly $20 million in sales that equates to $1.6 million. And that was the lowest margin that we reported in our oil field products for the DynaEnergetics segment for several quarters. I think it was the lowest we reported dating back to the first quarter of 2010.
Edward Marshall - Sidoti & Company: Right.
Rick Santa: So it’s kind of my surprise and we do not expect that margin level to be seen again as we move into 2014.
Edward Marshall - Sidoti & Company: Right. So my question was based still I guess on the guidance from first quarter relative to the full year, it looks like a pretty steep increase in the gross margin approximately throughout the year. Is it just a timing on mix or?
Rick Santa: Part of it’s the – what we have in the backlog for our NobelClad business and the decline in their sales versus where NobelClad was in Q4.
Edward Marshall - Sidoti & Company: And did you take a stab at SG&A for the year I know you gave $9.8 million to $10 million?
Rick Santa: I think you can consider the full year run rate to be roughly in that range as well.
Edward Marshall - Sidoti & Company: Okay.
Rick Santa: With the lower sales increase that we – our forecasting at this point in time we are going to manage our SG&A expenses very carefully.
Edward Marshall - Sidoti & Company: Alright, okay. It’s roughly $39 million to $40 million that’s an increase despite the fact that sales are relatively flat to slightly up?
Rick Santa: And it’s kind of the full year – it’s kind of a full year effect of the new organization that’s in place at DynaEnergetics particularly in the North America.
Edward Marshall - Sidoti & Company: Okay, thanks guys.
Kevin Longe: Thanks Ed.
Operator: Thank you. Our next question is comes from the line of Avinash Kant with D.A. Davidson. Please, proceed with your question.
Avinash Kant - D.A. Davidson: Good afternoon, Kevin and Rick.
Kevin Longe: Hi, Avinash.
Rick Santa: Hi, Avinash, how are you doing?
Avinash Kant - D.A. Davidson: Very good. Thank you. So a few questions, first one related to your oil fields business. So you did say that you saw unfavorable product mix maybe by now it looks like more gun sales versus the shaped charges. Is that a natural effect of several of the operators not operating at the time, maybe at the end of this year when it was very cold or it was something else that you saw?
Kevin Longe: We still saw a fall-off in the fourth quarter, the weakest performance in the fourth quarter was in the North American market, both Canada and the U.S. And so we saw a fall-off in terms of orders that we were anticipating. And then we had a buildup in the third quarter of supply to one of our customers who didn’t place orders in the quarter. And so the combination of those two and the delayed orders are working off the inventory was of a high margin product caused the product mix to work against us going into the fourth quarter at DynaEnergetics.
Rick Santa: The cold weather could have hurt maybe a little bit, but I haven’t heard a lot about that, but for whatever reason some of the Canadian operators kind of closed down in mid-December, but now as we enter 2013 partly because of the cold weather and the demand for natural gas and higher prices, they are very busy during the early part of 2014. And I like a cold in Canada because that keeps the ground frozen. The seasonality in the Canadian business is when the ground – when you have the spring melt and then people can’t get into the fields in Alberta.
Avinash Kant - D.A. Davidson: So, what I am trying to understand is that is there were to be a slowdown, is there any reason to believe that the slowdown could be – if that the product mix also has to vary or is just a coincidence that ideally should mix vary according to the demand, right?
Kevin Longe: Well, we were still getting up to speed our shaped charge facility. And I think that we had an unfavorable mix, which is going the other way in the first quarter of this year in terms of detonator and detonating cord. And so for us it’s more of a timing issue than it is a market issue.
Avinash Kant - D.A. Davidson: Okay.
Kevin Longe: The market appears to be fairly solid.
Avinash Kant - D.A. Davidson: Okay. And the second question was more on the explosion/clad side it’s really your backlog has not recovered and in fact this quarter it seems to be down meaningfully and I am looking at just orders in the explosion/clad side you may be having the weakest quarter in last four to five quarters that you had in booking terms. Now we keep hearing about all these projects in the way the natural gas price to petrochemicals side and the field looks like the bookings in the explosion side have not been picking. And what I am trying to understand is that is there something structurally that is different is a sense that how people found another alternative solution or there is less need of the materials that you produced or it’s just the timing?
Kevin Longe: We believe that’s the timing. We don’t see orders that were missing if you will. And in the clad business typically lags the generally economy and what we have been trying to do is predict when that’s going to take hold and we just – we see the request for close up significantly, but we don’t see those turning to orders yet, but we are not losing orders on the ones that were quoted.
Avinash Kant - D.A. Davidson: And are you seeing competitions in the roll bond versus some other technologies in our view?
Kevin Longe: We are I think roll bonding in general as fairly weak, right now and there is capacity there. But our sweet spot is in the more diverse metals and the thicker cladding applications and which is also where the better margins are and those are the longer term projects that we keep anticipating if you will.
Avinash Kant - D.A. Davidson: So, do you think Kevin the orders are not coming in, because the timing of these projects is being shifted or because of something?
Kevin Longe: That’s purely timing from our perspective. And again, we lacked the economy and by approximately 18 months and we are waiting for – we are very optimistic and hopeful that these orders will start breaking. And the question to us is which quarter and our guidance is based on not being able to predict when those quotes will turn to orders. And also with the timing on these projects, if we don’t see these projects breaking in the first or second quarter, it gets highly unlikely that there will be in this year’s revenue.
Avinash Kant - D.A. Davidson: I understand. Thank you so much.
Operator: Thank you. Our next question comes from the line of Dan Whalen with Topeka Capital Markets. Please proceed with your question.
Dan Whalen - Topeka Capital Markets: Great, thanks. Good afternoon guys.
Kevin Longe: Hi Dan.
Dan Whalen - Topeka Capital Markets: Just I guess kind of a clarification in terms of one of the first questions, I don’t know you gave that, in terms of the charge, I think $756,000. I am just trying to get a sense of what that is on a per share basis? I mean should we normalize that tax rate or stick with that 71% tax rate?
Rick Santa: I would apply normalized tax rate to that.
Dan Whalen - Topeka Capital Markets: Alright. So, that was kind of a $0.04 to $0.05 EPS impact then is the way that we should kind of think about that? I don’t know if I do a 30% tax rate, it gets down to about 529 and I think that probably gets you to…
Rick Santa: 13.5 million shares outstanding for the EPS computation.
Dan Whalen - Topeka Capital Markets: So that gets you about $0.04 to $0.05 of the non-recurring type impact there. Okay, that’s very helpful. Just wanted to clarify that. And then secondarily, I apologize if I missed this, just in terms of your acquisitions, the way you are thinking about it, the criteria, the sources of capital is that cash flow generation, is that which consider equity need to be accretive in year one, what’s kind of the mindset from that perspective?
Rick Santa: Yes. First of all, on the financing front, we think that we would finance the majority of that activity with debt. We have very low debt today. And the cost of debt remains very attractive. And with improving EBITDA and with adding the EBITDA of an acquired entity, we can certainly finance $100 million plus, not that our credit facility is there today, but that’s something that we would look at as we go forward, a higher dollar amount to a credit facility, so we have the funding in place as we pursue acquisitions.
Dan Whalen - Topeka Capital Markets: Okay. So, in terms of scale, I mean your acquisition price could be as high as $100 million?
Rick Santa: It could be even in excess of that.
Dan Whalen - Topeka Capital Markets: Okay. And my sense is given the near-term visibility that – as that order occur this year will be likely in the back half of the year, is that a fair…
Rick Santa: Yes. And I think it’s more likely with identifying targets, going through the negotiation, going through the due diligence, it’s probably more an 18-month timeframe realistically.
Dan Whalen - Topeka Capital Markets: Okay.
Rick Santa: Certainly if we talk bolt-on opportunities you could certainly close the smaller acquisitions sooner. We will be looking for another DMC platform with third quarter business.
Dan Whalen - Topeka Capital Markets: Okay, okay. And I’m assuming nothing is incorporated into the current debt?
Rick Santa: That’s correct.
Dan Whalen - Topeka Capital Markets: Okay, okay. Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Gerry Sweeney with Boenning & Scattergood. Please proceed with your question.
Gerry Sweeney - Boenning & Scattergood: Good afternoon guys.
Rick Santa: Hi.
Kevin Longe: Hey Gerry.
Gerry Sweeney - Boenning & Scattergood: I had a question on the guidance and as much as you can talk about it, but I think overall you said 0% to 4% up a plus I guess for DMC in aggregate. I – taken a look at the oilfield services you have the Germany plant, you have Blum, Texas coming online I mean nearly at full shift and then at some point the Russian plant will come on. I look at that as adding some seasoned close full capacity for growth that’s going to be picked up across the year. And then you put up against I guess NobelClad and am I looking at possibly down year on NobelClad and up on oil field services?
Rick Santa: Yes. I think you read the guidance correctly. Based on – starting out the year with a backlog at $10 million lower this year than it was at the beginning of 2013. If everything else remains equal that would indicate that NobelClad would be down $10 million in revenues.
Gerry Sweeney - Boenning & Scattergood: Yes.
Rick Santa: And we expect to grow the DynaEnergetics hopefully we’ll see a flow of orders for NobelClad that enabled us to do better than that.
Gerry Sweeney - Boenning & Scattergood: On the NobelClad maybe from a qualitative standpoint. You mentioned that you’re seeing more requests I mean do you follow-up I mean what happened to this request, are they just – are these projects not carried through on or they go in a different direction I believe Avinash was sort of touching upon this, but I was wondering if you had any additional clarity on that front?
Kevin Longe: Yes, I mean we have – we follow-up weekly on projects. We keep a running spreadsheet of these things. And we track whether the projects moving forward or whether it’s lost to a competitor or another technology such as roll bond. And we also quite frankly there are things that we’d chase that fall into other technology sweet-spot versus explosion clad sweet-spot. So we’re allover these things and we just – we’ve seen a couple of small orders that probably were not meant for explosion clad..
Gerry Sweeney - Boenning & Scattergood: Okay.
Kevin Longe: In the first place go to roll bond, but we don’t see roll bond applications going into other – explosion clad applications going to other competitors.
Gerry Sweeney - Boenning & Scattergood: Okay. Got it. Also this is just – one more question, last year you had the Indian tender on a – will that become (indiscernible) this year?
Rick Santa: Yes, I mean I’ve given back the last a couple of years. In 2012 we shipped the $2.5 million tender that year in Q1, last year it was $3.2 million that we shipped at all in Q2 and this year I believe that it’s in the $3 million range and it is slated to ship in the second quarter.
Gerry Sweeney - Boenning & Scattergood: Okay, okay, perfect.
Rick Santa: Good question. I was ready for it.
Gerry Sweeney - Boenning & Scattergood: That’s all from my front. Thanks guys.
Rick Santa: Okay.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I would now like to turn the floor back to Kevin Longe for closing comments.
Kevin Longe - President and Chief Executive Officer: Okay. Thanks everyone for taking the time to join us today. We get accomplished quite a deal, a great deal in 2013 and we remain very encouraged about our long range growth prospects and the strategy that we set-forth. And we look forward to speaking with you in the near term at the end of the first quarter. So thank you for joining us.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.